Operator: Good morning, and welcome to the NW Natural Holding Company Q2 2021 Earnings Conference Call. All participants will be in a listen-only mode. . Please note this event is being recorded. I would now like to turn the conference over to Nikki Sparley, Director of Investor Relations. Please go ahead.
Nikki Sparley: Thank you, Danielle. Good morning, and welcome to our second quarter 2021 earnings call. As a reminder, some things that will be said this morning contain forward-looking statements. They are based on management's assumptions, which may or may not occur. For a complete list of cautionary statements, refer to the language at the end of our press release. We expect to file our 10-Q later today. As mentioned, this teleconference is being recorded and will be available on our website following the call. Please note, these calls are designed for the financial community. If you are an investor and have additional questions after the call, please contact me directly at (503) 721-2530. News media may also contact me. Speaking this morning are David Anderson, President and Chief Executive Officer; and Frank Burkhartsmeyer, Senior Vice President and Chief Financial Officer. David and Frank have prepared remarks and then we'll be available, along with other members of our executive team to answer your questions. With that, I will turn it over to David.
David Anderson : Well, thanks, Nikki, and good morning, and welcome. We're halfway through the year and have posted strong financial results and continue to make good progress on our growth initiatives. We reported net income of $1.92 per share for the first 6 months of this year compared to net income from continuing operations last year of $1.41 per share. New rates in Oregon drove results at the natural gas utility along with continued healthy customer growth, lower negative COVID-financial impacts and higher revenues at our interstate storage business. Reports for our region show a continued steady recovery in growth in several areas. Unemployment rates in the Portland Metro area have declined to 5.3% for the 12 months ended May 2021, a level last seen in 2015. That's lower than the national unemployment rate of 5.9%. We're also seeing recovery in some of the sectors hardest hit by COVID restrictions. For example, in the food service sector, Oregon has regained about half of the jobs lost through June 2020. In the accommodation or lodging sector, we've regained nearly 1/3 of those jobs. Single-family housing activity remains very strong. In the Portland Metro region, home sales were up 39% for the first 5 months of 2021 compared to 2020, with the medium sales price up over 20%. New single-family permits issued were up 26% in the Portland Metro area through May this year compared to prior period. And recently released population growth data showed positive net migration to Oregon in the Portland Metro area through July 1, 2020. This coupled with strong price signals and a relatively stable demand for single-family homes are expected to continue spurring development activity in our region. For the quarter, these trends translated into solid customer growth. New construction plus conversions translated into connecting over 12,000 meters during the 12 months ended June 30, which equates to a growth rate of 1.6%. Our water and wastewater utilities also continue to grow. Strong residential housing construction permits--construction, primarily in Idaho, Texas and Washington--translated into a 4% customer growth rate. We also closed tuck-in acquisitions this year, leading to an overall customer growth rate of 6%. Now an update on Northwest Natural's general rate case in Washington. As you may remember, our Washington service territory covers about 12% of our overall customers and represents about 10% of revenues for the company. In July, we filed a multiparty settlement with the commission reflecting our agreement on all items in the case. Under the multiyear settlement, Northwest Natural's revenue requirement would increase $5 million beginning this November 1 and an increase in additional $3 million on November 1, 2022. This settlement includes several items that mitigate the impact to customer bills as all parties recognized this remains a very challenging time for customers. Both years are based on a cost of capital of about 6.8%. Rate base would increase a total of almost $53 million and equate now to $247.3 million. We expect an order from the commission this fall with rates that will go into effect, as I mentioned, November 1. With that, let me turn it over to Frank to go over some more details of the quarter and the year-to-date financial information. Frank?
Frank Burkhartsmeyer : Thank you, David, and good morning, everyone. I'll describe earnings drivers on an after-tax basis using the statutory tax rate of 26.5%. As a reminder, Northwest Natural's earnings are seasonal with a majority of revenues and earnings generated in the first and fourth quarters during the winter heating months. For the quarter, we reported a net loss of $700,000 or $0.02 per share compared to a net loss of $5.1 million or $0.17 per share from continuing operations for the same period in 2020. The improvement over the last year was driven by our gas utility, which posted an increase of $0.16 per share. Higher earnings at the gas utility were primarily related to new rates set in Oregon beginning November 1, 2020, customer growth and approximately $1.4 million of COVID-19 costs incurred in Q2 2020 that were subsequently deferred to a regulatory asset in the third quarter. Utility margin in the Gas Distribution segment increased $8.5 million as a result of the new rates and customer growth, which collectively contributed $7 million. Utility O&M increased $2.6 million, reflecting higher benefits and nonpayroll expenses. Depreciation expense and general taxes increased $2.3 million, while interest expense decreased $800,000. For the 6 months -- first 6 months of 2021, we reported net income of $58.8 million or $1.92 per share compared to net income from continuing operations of $43.1 million or $1.41 per share for the same period in 2020. The $0.51 per share increase was largely driven by the gas utility, which contributed $0.35 with our other businesses contributing $0.16 per share as compared to last year. Similar to the quarter-to-date results, higher earnings at the gas utility were primarily related to new rates in Oregon, customer growth and $1.8 million of COVID-19 related costs that were subsequently deferred in the third quarter of 2020. In the Gas Distribution segment, utility margin increased $22.1 million. Higher customer rates in Oregon and customer growth contributed $22.6 million. This was partly offset by a $2.1 million greater loss from the gas cost incentive sharing mechanism as we purchased higher-priced gas during the February cold weather event. Utility O&M increased $4.7 million, driven by higher employee compensation and benefits costs, lease expenses for our new operations and headquarters building, and higher professional services fees. Depreciation expense and general taxes increased $5.5 million. Net income from our other businesses increased $4.7 million, largely due to higher asset management revenues from the cold weather event in February. During the first half of 2021, cash provided by operating activities was $193 million or an increase of $31 million compared to last year. We reinvested $128 million into the business, most of which was for gas utility capital expenditures. Our balance sheet remains strong with ample liquidity. The company reaffirmed 2021 earnings guidance today for net income in the range of $2.40 to $2.60 per share. Guidance assumes continued customer growth, average weather conditions and no significant changes in prevailing regulatory policies, mechanisms or outcomes or significant changes in loss legislation or regulations. With that, I'll turn the call back over to David.
David Anderson : Thanks, Frank. Turning to a few updates on our key long-term objectives -- our long-standing -- and I do mean long-standing core value of environmental stewardship as a driving force behind the choices we make every day in our operations and in planning for the future. We believe climate change requires rapid innovation and collective action, which is why we're committed to reimagining the role of our system and the fuel we deliver. In 2016, we established a 30% carbon savings goal to be achieved by 2035, starting from a 2015 baseline. This goal is not only for our own operations, importantly, it also includes the use of our natural gas by customers. I'm happy to announce that we released our 2020 ESG report earlier this week. I hope you've seen it and reported that we're ahead of our target savings and are on track to meet or exceed that goal. I want to underscore this is a very unique and aggressive voluntary goal and has been a catalyst for us to lead beyond our walls by building public policy coalitions that support innovation, and of course, new thinking. One example of that is the groundbreaking Oregon Senate Bill 98, which allows us to procure renewable natural gas, including hydrogen for our customers. This log us further than any other current law in the U.S. by outlining goals for adding as much as 30% renewables on the system by 2050. We continue to make progress into the legislation by signing an agreement with Element Markets to purchase RNG. To date, we've signed RNG agreements with options to purchase or develop RNG totaling about 2% of Northwest Natural's annual sales volume in Oregon, which is enough to heat 36,000 homes. We feel good about the progress we made in a short time, but there's more to do. But to put it in perspective, today, wind and solar account for about 11% of our nation's electric supply, and that's after decades of investment. So to be at 2% in a short period of time on our system, I think we're moving quite well. In addition, last month, Northwest Natural initiated a request for proposal for additional RNG purchase for investment opportunities. We expect that RFP to close later this month. Now more than ever, it is clear to us how critical our gas infrastructure is to furthering our collective climate goals, while also ensuring energy system diversification and reliability, and of course, resiliency for our communities. By putting RNG on our existing system, our modern existing system, we can achieve both resilience, and importantly, decarbonization. Now an update on the water utility business. We're seeing increased business development activity and robust acquisition pipeline now that the COVID restrictions have basically lifted. That includes tuck-in and water utilities around our existing systems, which are located in Oregon, Washington, Idaho, and of course, Texas. We expect to close 2 of our outstanding pending sales in the third quarter and another one by the end of the year. At the same time, we continue to invest in our existing facilities. In June, after extensive planning, we broke ground on a new wastewater facility at our Sunriver, Oregon, facilities. The facility will be equipped with the latest technologies and equipment for treating wastewater, meeting stringent environmental guidelines and helping Sunriver continue to provide safe, reliable, and of course, cost-effective service. And to support investments in our water business, we're filing general rate cases as necessary. To date, we've completed rate cases in Idaho, Oregon and Washington, building constructive relationships with our regulators in those states and achieving results that promote future investments and growth. We, and specifically I, remain excited about the investment potential in this business segment. Thanks for joining us this morning. With that, Danielle, I think we're ready to open it up to questions if there are any.
Operator: . The first question comes from Selman Akyol from Stifel.
Selman Akyol : So I guess a couple of questions real quick. So can you just maybe expand O&M this quarter came in higher? And I heard what sounded like employee and onetime expenses, but can you maybe just shed a little more color there?
Frank Burkhartsmeyer : You bet, Selman. In the first half of the year, what we've really seen grow there, and this is as expected and part of the reason we filed the rate case in Oregon, and then of course, the rate case in Washington. In addition to -- I think it grew about 7.5% through the first 6 months compared to last year. And I'd say about 1/3 of that growth was just payroll and benefits, just typical -- a little bit of headcount, but mostly just regular salary and benefit growth. We do have a new lease on the headquarters and operations center here, which is another 1/3 of it. And then the last 1/3 was really split between -- as with most companies, we've had to move to some cloud-based solutions in IT, and those are more subscription or contract as opposed to capital, so we're seeing some increase there, and then a bit of this and that around the company. But really 2/3, 3/4 of our payroll benefits, the new headquarters lease and then some of these cloud-based IT costs and then just other things that are too small to break out.
Selman Akyol : Fair enough. Appreciate that. And then just turning to the RNG, and I know you guys have some more RFPs out there. So I'm just curious what goes into your vetting process because we're seeing a lot of new people or a lot of new companies enter this business? And so when you think about who you're going to procure from, can you just maybe lay out a few of your criteria? And then also, broadly speaking, it comes from either agriculture or landfill. So do you have a preference? I understand it's a molecule at the end of the day, but is there any preference between those 2?
David Anderson : I'll start off, and then I'll turn it to Justin. I think strategically, what everybody needs to understand is, we're doing all we can to procure as much renewable natural gas to decarbonize what's going through the pipeline. And so whether that includes investment opportunity, which obviously is beneficial, but even purchase opportunities like the one that we mentioned in the announcement this week. But with that, Justin, do you want to go into a little bit more detail on Selman's question?
Justin Palfreyman : Yes, sure. I mean the #1 thing we're trying to do is get cost-effective renewable natural gas for our customers. We have the flexibility to acquire that or procure it from a variety of locations and a variety of sources, and in many ways, we are somewhat agnostic about that. We do have a rigorous methodology that we've established with our regulators about how we calculate the incremental cost to our customers. So it's not just purely kind of the notional dollar amount in a contract. There's a lot that goes into that as we think about sort of avoided costs and compliance costs, transportation costs and various other things. So there's a whole host of criteria that goes into our RFPs. But at the end of the day, we are trying to acquire or procure the most cost-effective RNG for our customers that we can. Yes. Sources are agnostic as well. So we -- our Tyson announcement, obviously, that partnership is focused on food processing facilities and the waste streams related to that. We also have and will be looking at wastewater treatment facilities, landfill, gas opportunities and other agricultural operations. So it's -- we're fairly agnostic as it comes to feedstock as well.
Selman Akyol : Understood. And then the last one for me, just any update on -- in terms of the experimentation going with hydrogen?
David Anderson : Yes. Kim, why don't you kind of touch base on that one?
Kimberly Heiting : Yes, we continue to work with EWEB, the electric utility in Eugene. They're closing in on the process to acquire the land. And we're also looking at different technologies. We've explored mechanization with waste CO2, but we're also now looking at making this just hydrogen-lending project because we're starting to get some inquiries from industrial customers really interested in blending. So the work continues. We're making progress. But as a pilot, we've got -- we want to make sure that when we file this under Senate Bill 844 program that we're ready to go. So more to come.
David Anderson : I think it's also a good, Selman, at the national level that the current infrastructure bill has language in there for hydrogen, too, along with a bunch of other stuff with $3.5 trillion infrastructure bill. So we'll see where it is in the Senate right now, and we'll see where that goes. But that appears to be a big piece of it. And I think that will help spur the hydrogen development in this country, which I and AGA support.
Kimberly Heiting : I might also add, we're continuing to do our lending at our own training facility in Sherwood, Oregon. We have 5% lending tests, and our team is creating an uptick in that lending over time towards the -- at the end of next year, we expect to be serving the entire facility out there. Right now, we're serving a couple of buildings and testing equipment. So that work continues as well.
Operator: As there are no further questions, I would like to turn the conference back over to David Anderson for closing remarks.
David Anderson : All right. Well, thank you, Danielle, and thanks to everybody for joining us today. And as always, if you want to dive deeper into it, you know Nikki Sparley is the person to contact and she'll help you out. Thank you, everybody.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.